– :
– :
Operator: Good day everyone and welcome to the Exxon Mobil corporation third quarter 2008 earnings conference call. Today’s call is being recorded. At this time for opening remarks and introductions, I’d like to turn the call over to the Vice President of Investor Relations and Secretary, Mr. David Rosenthal. Please go ahead sir.
David Rosenthal: Good morning and welcome to Exxon Mobil’s teleconference and webcast on our third quarter 2008 financial and operating results. As you are aware from this morning’s press release Exxon Mobil’s net income in the third quarter was a record for the corporation. Our integrated business portfolio, strong operational performance, and financial discipline continue to allow us to capture the benefits of the commodity price environment. Despite recent volatility in the financial, commodity, and credit markets the fundamentals at Exxon Mobil’s business remain strong and we continue to invest are record levels to bring new supplies to market. Before we go further I would like to draw your attention to our cautionary statement. Please note that estimates, plans, and expectations are forward-looking statements. Actual results, including resource recoveries, volume growth, and project outcomes could differ materially due to factors I discuss and factors noted in our SEC filings. Please see factors affecting future results and the Form 8-K we furnished this morning, which are available through the Investors section of our website. Please also see the frequently used terms, the supplements to this morning's press release, and the 2007 financial and operating review on our website. This material defines key terms I will use today, shows Exxon Mobil's net interest in specific projects, and includes our SEC Regulation G disclosure. Now, I'm pleased to turn your attention to the third quarter results. Exxon Mobil's third quarter 2008 net income was $14.8 billion, an increase of $5.4 billion from the third quarter of 2007. Third quarter 2008 net income included a $1.6 billion gain on the sale of our German gas transportation business which we commented on in our second quarter earnings teleconference and a special charge of $170 million for interest related to the Valdez punitive damages award. Third quarter normalized earnings, excluding special items, were $13.4 billion, up almost 4 billion from the third quarter of 2007. Normalized earnings per share were $2.59 per share, up 52% from a year ago, reflecting the strong earnings performance and the benefits of our share purchase program. During the third quarter of 2008, Exxon Mobil distributed a total of 10.1 billion to shareholders, including dividends of 2.1 billion and share purchased to reduce shares outstanding of $8 billion. Before I discuss our specific business results in more detail, I would like to make a few comments on the impact of the hurricanes which hit the Gulf Coast of Texas and Louisiana in September. Hurricanes Gustav and Ike were significant events for our employees, their families, and many communities across the Gulf Coast. Our top priority was the safety of our employees and the communities in which we operate. Our response plan and the diligence of our employees ensured the safe shutdown of platforms, refineries, and chemical plants in the path of the hurricanes. As part of our preparation and activities we worked diligently to bring additional fuel supply to our customers. For example we sourced gasoline from oversees and also purchased volumes in the U.S. to supplement our own production. In addition, Exxon Mobil has provided a total of $6.8 million in relief to help communities directly affected by the hurricanes. The majority of our upstream production operations and downstream refineries are now back online or completing the final stages of startup. However, the Beaumont chemical plant experienced more extensive water damage than our other facilities. And we continue to progress repairs and develop our restar plans. As a result of the hurricanes third quarter upstream volumes were down 24,000 oil equivalent barrels per day and costs were higher by $50 million before tax. Looking forward we expect damage repairs and lower volumes across all business lines associated with the hurricanes to reduce earnings by about $500 million in the fourth quarter. I would now like to share some of the milestones we have achieved since the last earnings call. Following the startup of the Mondo field in January this year we successfully started up the Saxi and Batuque fields in the third quarter, completing the second Kizomba C FPSO startup in Block 15 offshore Angola. The three fields comprising the Kizomba C development, Mondo, Saxi, and Batuque are now producing at a combined rate of 200,000 barrels per day and are expected to recover approximately 600 million barrels of oil. Daily production from the Exxon Mobil operated Block 15 developments in Angola has now reached approximately 700,000 barrels per day. In Malaysia natural gas production commenced from the offshore Journa (ph 00:06:12) B platform. The platform was fully designed and constructed in Malaysia. At its peak, this development should produce 150 million cubic feet per day bringing expected total production for the Journa field to 600 million cubic feet per day. Including Volvay (ph 00:06:33) in Norway, Starling in the U.K. sector of the North Sea, Kizomba C Mondo in Angola, East Area Natural Gas Liquids II offshore Nigeria, and ACG Phase III in Azerbaijan we have completed seven major project startups to date in 2008. In addition to these startups, a major expansion was completed in the third quarter at the Tengiz field in Kazakhstan with the full startup at the sour gas injection second generation plant. This expansion increased Tengiz’s production capacity by 235,000 barrels per day, nearly doubling production capacity to 540,000 barrels per day. These major projects demonstrate our ongoing commitment to bring new supplies to market and deliver value to our shareholders. Also in the third quarter we announced that the Adriatic LNG terminal left its construction site in Spain and arrived in Italy successfully. Following a period of commissioning and testing, the terminal should reach full operational capacity in 2009. Once operational the terminal will have a regassification capacity of 8 billion cubic meters per year, equal to approximately 10% of Italy’s national natural gas consumption, and about 10% of installed LNG regassification capacity in Europe. In exploration we added to our global portfolio of outstanding deepwater exploration opportunities. In the recent Gulf of Mexico lease sale 207, we were the high bidder for 130 blocks totaling 83,000 acres and water depths ranging from 2,100 feet to almost 10,000 feet. In Brazil the deepwater drilling rig West Polaris arrived in Brazilian waters in late September and after concluding the required inspections and clearances has begun drilling the Azula well (ph 00:08:46) in Block BM-S-22. Plans to drill a second well on the block are underway and will follow immediately upon completion of the first well. Exxon Mobil is pleased to be participating in this exciting new subsalt play and will leverage all of our global experience and industry leading technologies in the exploration program. Also in exploration we continue to progress our high potential unconventional natural gas opportunities in Europe and North America. In both the lower Saxony Basin in Germany and the Mako Trough in southeast Hungary we began drilling operations and will conduct production tests over the next several months. In the Horn River Basin in Northeastern British Columbia, Canada we captured an additional 21,000 acres in the area bringing our total to 136,000 acres. Drilling in the Horn River area will commence during the fourth quarter. Moving now to the downstream, in refining we continue our activities to reduce raw material costs by managing our crude flexibility. This quarter Exxon Mobil ran 44 crudes that were new to individual refineries and eight that were new to the corporation. Also during the quarter in our lubricants business, we introduced our new aviation hydraulic fluid Hijet-5. Hijet-5 is the only product of its type with the highest grade approvals from Airbus and Boeing and demonstrates our commitment to develop technologically advanced products for our customers. In our chemical business we started up facilities at our plant in Pensacola, Florida to manufacture a revolutionary new tire material excore dynamically vulcanized alloy or DVA. Excore DVA achieved 7 to 10 times better air permeability than existing halibutal tire inter-liner materials. This allows for improved tire durability and better air pressure retention which improves vehicle fuel economy. Building on the strength of our integrated facilities and demonstrating our disciplined investment approach, we also started up facilities in our plant in Singapore to increase EXOL hydrocarbon fluid’s production. These facilities will increase capacity at the site by 130,000 tons per year to more than 500,000 tons per year, allowing us to meet growing demand for differentiated hydrocarbon fluid products in Asia Pacific. This expansion reinforces Singapore’s status as a world class hydrocarbon fluid’s complex along with Exxon Mobil’s facilities in Baytown, Texas and Antwerp, Belgium. Now turning to the business line results, upstream earnings in the third quarter excluding special items were $9.4 billion, up 3.1 billion from the third quarter of 2007. We continue to capture the benefit of strong industry conditions during the quarter, generating upstream after tax unit earnings of $28.27 per barrel. Crude oil and natural gas realizations increased earnings by $4.4 billion. Worldwide crude oil realizations were up more than $40 per barrel to just over $111 per barrel in the quarter. Natural gas realizations were up $3.82 per KCF from third quarter 2007 reflecting higher prices in all major producing regions. Lower crude oil and natural gas volumes reduced earnings by $1.3 billion. Other effects reduced earnings by $50 million primarily due to increased operating expense and higher taxes partly offset by positive foreign exchange effects and higher gains from asset sales. In total oil equivalent volumes decreased 8% from the third quarter of last year. Entitlement volume effects including price and spend impacts and PSC net interest reductions reduced volumes by 110,000 barrels per day. Excluding the impacts of lower entitlement volumes and also the hurricane impacts in the U.S. production was down 4.8%. This reduction includes the impact of higher maintenance activity and downtime which reduced volumes by just under 3%. Natural field decline in mature areas was largely offset by major project ramp-ups in West Africa and the North Sea. Liquids production decreased approximately 250,000 barrels per day, or 10% from the third quarter of last year. Excluding impacts related to lower entitlement volumes and hurricane impacts in the U.S. production was down about 5%. This reduction includes the impact of higher maintenance activity and natural field decline in mature areas largely offset by major project ramp-ups in West Africa and the North Sea. Gas volumes decreased 460 million cubic feet per day from the third quarter 2007. Natural field decline in mature areas along with increased maintenance activity and entitlement effects were partly offset by new project volumes. Turning now to the sequential comparison, versus the second quarter of 2008 upstream earning decreased $660 million due to lower crude oil realizations and higher expenses partly offset by increased gains from asset sales and positive foreign exchange effects. Liquids production decreased 4% due to entitlement volume effects, natural field decline, and hurricane impacts in the U.S. partly offset by new project volumes. Natural gas production was down nearly 8% driven by seasonally lower demand in Europe, higher maintenance activity, hurricane impacts in the U.S., and natural field decline. Oil equivalent volumes were down 5.5% from the second quarter. For further data on regional volumes please refer to the press release and IR supplement. Turning now to the downstream results, earnings in the third quarter were $3 billion, up $1 billion from the third quarter of 2007. Higher margins increased margins by $1.1 billion driven by stronger refining and marketing margins including positive price finalization effects of just over $700 million. Volume and mix effects increased earnings by $210 million as margin improvement activities more than offset lower sales volumes. Other effects reduced earnings by $270 million primarily due to negative foreign exchange effects. Sequentially third quarter earnings increased by $1.5 billion reflecting stronger refining and marketing margins including positive price finalization effects of just over $1 billion. Volume and mix effects increased earnings by $90 million including the impact of ongoing margin improvement activities. Other factors reduced earnings by $450 million largely due to adverse foreign exchange impacts and lower gains from asset sales. Focusing now on our chemical results, third quarter chemical earnings of $1.1 billion were $115 million lower than the third quarter of 2007. Lower margins reduced earnings by 55 million while lower volumes reduced earnings by $200 million, reflecting hurricane impacts in the U.S. and lower demand. Other impacts increased earnings by $140 million, reflecting positive foreign exchange and tax effects. Sequentially third quarter chemical earnings increased by $400 million. Higher margins reflecting increased realizations improved earnings by $630 million. This was partly offset by lower volumes which reduced earnings by $280 million. Turning now to our corporate and financing segment, corporate and financing expenses were $71 million excluding the Valdez interest charge down 21 million from a year ago primarily due to positive tax effects. The effective tax rate for the third quarter was 45%. Our cash balance was $37 billion and debt was $10 billion at the end of the third quarter. Exxon Mobil made share purchases in excess of dilution of $8 billion during the quarter, reducing the number of shares outstanding by 2.1%, again demonstrating our commitment to return cash to our shareholders. CAPEX in the third quarter was $6.9 billion, an increase of $1.4 billion, or 26% from the third quarter of 2007. We continue to invest actively in robust projects to help meet global demand for crude oil, natural gas, and finished products. In summary, this quarter’s results highlight the quality of our integrated business model and disciplined investment approach. In the upstream our outstanding portfolio of producing assets is performing well. While volumes were impacted by the price environment and higher maintenance activity, operational performance was solid and we delivered strong earnings in the quarter. In downstream and chemical, Exxon Mobil’s integrated operations and continued focus on efficiency improvement and optimization allowed us to deliver differentiated results. That concludes my prepared remarks. I would now be happy to take your questions.
Operator: Thank you sir. (Operator Instructions) We will go first to Paul Sankey of Deutsche Bank.
Paul Sankey – Deutsche Bank: Hi, good morning everybody.
David Rosenthal: Good morning Paul.
Paul Sankey – Deutsche Bank: Looking at these volumes, just a very high level question first of all, at the analyst meeting you said that you would be essentially down very mildly. That was the projection in 2008. And then there would be growth in 2009 all at a level of about 4 million barrels a day. I guess if we add back in the incitement volumes and the hurricanes and the maintenance and so on effectively you’re down about 2%. Should we expect growth from that lower level in 2009 or can you give us some sort of indication of how much flight volumes have been permanently impaired by what’s happened over the past few months relative to what you thought in March? Thanks.
David Rosenthal: Well Paul, as you pointed out, if we look at where we are so far this year and you exclude the price related effects and the hurricane impacts and the maintenance we would be down about 2% and that is consistent with the volume outlook that we tabled at the March analyst meeting. I would point out that the PSC effects, while they do improve – do impact volumes, the high price environment on those PSCs has generated substantial returns and we are very pleased with the results out of those PSCs. As we move forward into 2009 we will be providing another update at our March analyst meeting. But I would say the projects that we have that are underpinning the volume chart that we showed before are on track and progressing as planned.
Paul Sankey – Deutsche Bank: So would you –
David Rosenthal: We do expect – let me just follow-up on one comment – we do expect growth in ’09 of course related to the startup of our large cutter LNG trains.
Paul Sankey – Deutsche Bank: So we should expect growth – should we take the new level to be the down 2% and growth from there and disregard the March outlook?
David Rosenthal: No, I think what would be more appropriate would be to look at what we tabled in March of this year for the long-term projection and volumes. And again we’ll provide an update to that at the next analyst meeting in March.
Paul Sankey – Deutsche Bank: Just breaking down into the PSC effects I guess some of those lower volumes have gone forever but some of them are price related and will come back. Can you give us a sense of the breakdown of how much the PSC effects were? Even if you could that regionally it would be very helpful as well just so that we can get a sense of how big that number will be on a trailing and going forward basis.
David Rosenthal: Sure. If we look at the volumes of third quarter ’08 versus third quarter of ’07 we mentioned that the total impact is about 110,000 barrels per day. And about 57,000 barrels per day does represent net interest reductions which are permanent and the other 53 do represent the price and spend impacts which of course as you know are related to the price of oil at the time we recover those barrels to cover our costs and those will vary with crude prices.
Paul Sankey – Deutsche Bank: Okay.
David Rosenthal: And if I just follow up on your last question. About 40% of the total was in the Russia Caspian area, about a third in West Africa and little across the rest of our portfolio.
Paul Sankey – Deutsche Bank: And the prices would just stay flat from here. How would we model back in the line for what you just said about the permanent reduction? How would we model back in the (inaudible 00:16:29) on the sensitive side of that.
David Rosenthal: Well, the - of course the net interest reductions are permanent and won’t be impacted by the prices going forward whether they go up or down.
Paul Sankey – Deutsche Bank: Right.
David Rosenthal : And then of course, the price and spend impacts will depend on both the level of our costs and spend patterns as well as the price of oil at the time. But again, those are variable both from what our spending profile looks like as well as the absolute value of the oil.
Paul Sankey – Deutsche Bank: So you can’t give me a sense, say for example, if we held that 665 or whatever we’re at today. If we held that level can you give me a sense of - for where we’d be?
David Rosenthal: I really wouldn’t want to try to give us a sense cause again, that’s dependent on both the price of the oil and our level of spend. But directionally lower prices, you know would yield more barrels at the same level of spending but I really wouldn’t want to try to table a number going forward.
Paul Sankey – Deutsche Bank: On the maintenance activity and down time, that’s kind of a special item that recurs. Is there a pattern here that we do see high levels of maintenance and we should, in many ways, consider those, for example North Sea issues to be a permanent feature of life in a mature world of oil going forward?
David Rosenthal: Well, as you know, historically maintenance is higher in the second and third quarters. And as you know, we have a very robust and disciplined system of doing our maintenance and that does, as I mentioned, tend to be higher in the second and third quarter. We had maintenance which was particular higher in the third quarter of this year primarily in Nigeria. But going forward, you know, I would expect those volumes to come back as we get the majority of that maintenance work behind us heading into the fourth quarter.
Paul Sankey – Deutsche Bank: Okay. So finally, for me, could you just split out how much was Nigeria and how much was North Sea? How much was, I guess, Tanges (ph 00:18:37) was also down as well?
David Rosenthal: The bulk of it was in the North Sea and Nigeria with small effects elsewhere but I really wouldn’t want to go into more detail but the bulk of it was in Nigeria and the North Sea and as you know, as we come out of the third quarter the North Sea maintenance for both liquids and gas will be behind us and we’re making progress in Nigeria as well.
Paul Sankey – Deutsche Bank: Okay. I’ll leave it there. Thank you.
David Rosenthal: Thank you.
Operator: Our next question comes from Neil McMahon of Sanford Bernstein.
David Rosenthal: Good morning, Neil.
Neil McMahon – Sanford C. Bernstein & Company, Inc.: Good morning or even afternoon this side. A few questions. The first one is could you give us an update on a few of your longer term potential operations that are what is, as far as I can tell, sort of legal disputes at the minute such as Natuna and on Point Thompson? And then I’ve got a second question.
David Rosenthal: All right. If we look first at Natuna we are continuing to progress that project and you know, we continue to discuss with the government our ongoing project development there and those negotiations are continuing but - and we have certainly communicated to the Indonesian government a willingness to seek a mutually acceptable solution. And we would expect to continue to work on that over the course of the quarter but I do want to say that there really is no legal dispute at this time for Natuna. Our contract remains valid and we continue discussions with the government. If we move on to Point Thompson, ExxonMobil and the other Point Thompson working interest owners are proceeding with the project while we seek to resolve the dispute with the state over the Point Thompson unit and leases. We have completed many activities in field operations at the Point Thompson site in preparation for the multi-well drilling program. We’ve got several of the permits to do that program and we’re awaiting additional approvals from the state regulatory agencies that are necessary to allow drilling activities to continue.
Neil McMahon – Sanford C. Bernstein & Company, Inc.: I think that just on Point Thompson, I think there was meant to be some resolution by October 15th. So I was just wondering if there was any update on that. And secondly on Natuna, should we then expect Natuna to reappear in your Asono (ph 00:21:22) document on your (inaudible 00:21:26) document in terms of the major projects, start ups for the next decade.
David Rosenthal: Well, let me hit Point Thompson first. I’m not aware of any specific October 15th deadline but as I mentioned earlier, we are in ongoing discussions with the state of Alaska on bringing that project forward. As opposed to Natuna, you know as I mentioned we are looking to progress in Natuna and the outcome of the negotiations that are underway will determine our reporting going forward.
Neil McMahon – Sanford C. Bernstein & Company, Inc.: Just a second question looking at - obviously, your balance sheet is probably one of the best in the world if not the best in the world.
David Rosenthal: Thank you.
Neil McMahon – Sanford C. Bernstein & Company, Inc.: And it’s hardly extreme to say so given the size of it. And just looking at the amount of cash, you’ve got nearly $37 billion on the balance sheet. What should we be thinking about your buy back level going forward? Neither the value of the stock has fallen and also how do you think about acquisitions given current prices for stocks which have fallen dramatically the last few months?
David Rosenthal: Well, let’s talk about the cash that we have on the balance sheet and let me just step back a second and say, of course, the utilization of that cash in whatever avenue is designed to increase shareholder value over the long-term. As we look forward, of course our first priority is to fund our very robust investment program and as we’ve mentioned we expect to spend in the league of $25 to $35 billion a year in CapEx over the next five years. And we have no change to those plans at this time. The projects are progressing as we expected. The next thing we fund, of course, is the dividend and we have a history of growing the dividend. And that is, of course, one of the avenues of distributing cash to the shareholders. The last means of distributing cash to the shareholders is through the share buyback but I would -- we do that ratably over a long period of time and we don’t speculate on the price. We’re buying everyday across the time and you know, that program has continued.
Neil McMahon – Sanford C. Bernstein & Company, Inc.: Okay, thank you.
David Rosenthal: If we just come back to your follow up question related to M&A activity. I’d like to say that, of course M&A activity, our opportunities are just one of many opportunities that we look at on a continuing basis. I’ll tell you that was true at $140 a barrel and it’s true at $70 a barrel. We are monitoring what’s going on in the market but again, M&A is just one opportunity amongst many that we have and in particular, on a global basis that we’re monitoring and looking at it and evaluating on a constant basis.
Neil McMahon – Sanford C. Bernstein & Company, Inc.: Great, thank you.
Operator: Our next question comes from Mark Gilman of Benchmark Company.
David Rosenthal: Good morning, Mark.
Mark Gilman – The Benchmark Company: David, good morning. I had a couple of things I wanted to go over. Of the net interest reductions cited in your production chart, did any occur in the third quarter precisely? Looks to me as if that’s just the carry over affect from impacts earlier in the year given that it’s a reduction from a 90 something number in 2Q same basis.
David Rosenthal: A lot of it is carry over as you suggested but specifically in the third quarter we did see some impacts from net interest deductions. Although they were small across a number of areas, nothing I would single out individually.
Mark Gilman – The Benchmark Company: Okay. Can you identify in a $60, $70 a barrel world, where going forward such might be anticipated?
David Rosenthal:
–:
Mark Gilman – The Benchmark Company: In interest reductions.
David Rosenthal: Oh, the permanent net interest reduction?
Mark Gilman – The Benchmark Company: Yeah.
David Rosenthal: Well, Mark, as you know only about 20% of our production portfolio is under PSEs and going forward, on a particular bice (ph 00:26:00) basis I couldn’t really offer any specifics. You know, but again there’s the net interest reductions and the price and spend impacts as we go forward.
Mark Gilman – The Benchmark Company: Okay. Let me try something else. It looks to me as if there was a massive net working capital increase in the third quarter which given the drop in prices is, to say the least, a bit counterintuitive. Is that accurate and why did it occur?
David Rosenthal: If you’re talking about our working capital change sequentially or quarter on quarter?
Mark Gilman – The Benchmark Company: Well, I’m just looking at the third quarter specifically, David, and in order to get to that cash flow from operations number indicated in your press release. About the only way for that to happen would be if there was a significant increase in working capital which I say in a lower, in a falling price environment is counterintuitive.
David Rosenthal: Well, we did see fairly significant changes in our working capital in the third quarter but those were related to a number of items both on the payable side and the receivable side given the change in the prices.
Mark Gilman – The Benchmark Company: Okay, but there was an increase?
David Rosenthal: Yes. Yeah, we did see an increase in the quarter.
Mark Gilman – The Benchmark Company: Okay. Could you - you mentioned in going through the variances in the segments on several occasions the impact of asset sales. Can you quantify, you know in reasonably specific terms, what the asset sales benefits were? Or if it’s a negative number, I doubt that, in the third quarter in the various segments.
David Rosenthal: Well, Mark as we look across the segments in the third quarter. Basically we had some of our just usual ongoing business. Don’t have anything specific to highlight in any of these segments with the exception, perhaps, we divest our Barnett Shell business in the upstream as you’re aware of. The really significant asset sale, of course, was the sale of our upstream gas transportation business in Germany which we did highlight as a special item. But other than the event I would characterize the rest of our asset sales across the segment as business as usual.
Mark Gilman – The Benchmark Company: Okay. One final one for me, David. The $500 million figure cited in the press release, you know in terms of the earnings impact of damage repairs and lower volumes in the fourth quarter. That just sounds like an awfully large kind of number. Can you put some color on that in terms of its pieces? You know particularly given your comment that most of the activity with respect to Beaumont chemical facility, you know, was really back on line.
David Rosenthal: Well, let me answer the last part of your question first and I’ll come back to the first part. If we look across our footprint in the Gulf of all of our assets, most of them are back up or will soon be back up. The one exception is the Beaumont chemical plant where we did sustain a fair amount of damage and that plant is not up. And we are continuing to progress repairs at those facilities. If we look back at the $500 million number mentioned in the press release. That’s split about evenly between loss volumes and also repair costs as we move into the quarter but yeah, it’s about 50/50 on repair costs and volume effects.
Mark Gilman – The Benchmark Company: Was the volume effect primarily on the chemical side?
David Rosenthal: It somewhat in the chemical side but also on the upstream side. We would expect it as we mentioned we had about 24 KBD down in the third quarter, most of that late in the quarter. As we move into the fourth quarter on those volumes, while most of our producing facilities are back online, in many cases we are awaiting third party facilities to be up and running. So our best guess, if we look quarter to quarter, average across the quarter, we’ll be down about the same 24,000 barrels a day. So the upstream volumes and some of the other volumes, again about half that $500 million with the balance being repair expense for the facilities that were damaged in the hurricane.
Mark Gilman – The Benchmark Company: Thank you, David.
David Rosenthal: Thank you.
Operator: Our next question comes from Erik Mielke of Merrill Lynch.
David Rosenthal: Good morning, Erik.
Erik Mielke – Merrill Lynch: Yeah, good morning. I apologize I have a bit of a sore throat so if I sound a bit funny that’s the reason for that.
David Rosenthal: Okay.
Erik Mielke – Merrill Lynch: Could you give us an update on the Catare (ph 00:31:08) projects specifically on timing and completion? You previously mentioned that train four should be ramping up in the fourth quarter and train six should be sometime early in 2009.
David Rosenthal: Sure, I’d be happy to provide an update. The train four commissioning is proceeding well and we expect to be producing L&G from train four in the winter, of this winter 2008/2009. Train five, of course, will start up in 2009 and train six, (inaudible 00:31:40) train six will begin commissioning in late 2008 with first L&G production expected in the first part of 2009. And finally train seven, of course, is projected to start up later in 2009. But let me also comment overall on the status of these projects. As you know, these are the largest L&G trains in the world. These are great projects for us and they are all progressing as planned, as expected and we expect the production from those to come on as we expected.
Erik Mielke – Merrill Lynch: Should we expect a meaningful contribution to volumes in the fourth quarter?
David Rosenthal: No, I would not expect a meaningful contribution in the fourth quarter but you’ll start to see the ramp up as we head into the first quarter of ’09.
Erik Mielke – Merrill Lynch: And the amount in those volumes, are you limited to Italy, the U.K. and the U.S.?
David Rosenthal: Well, I don’t want to really comment on any specific destination of the specific shipments. We do have some flexibility and of course, the volumes are going to individual markets at any point and time will depend on the conditions and the contractual arrangements in place but other than that, I really wouldn’t want to comment on any specifics of the commercial arrangements.
Erik Mielke – Merrill Lynch: Okay and can I ask a very quick extra question on oil sands.
David Rosenthal: Sure.
Erik Mielke – Merrill Lynch: We’ve seen some of your peers announce delays to various oil sands projects. Can you just confirm that you’re still happy with your (inaudible 00:33:24) project?
David Rosenthal: I’d be happy to confirm that because we are happy with the Coral (ph 00:33:30) project. We’re committed. Continue to be committed. As you know the Coral project is an advantaged resource in the oil sands province mainly because of the quality of that resource and the scale of it. As we looked at Coral from the beginning we did evaluate those economics over a broad range of prices as we do all of our investment opportunities. And as we look at the economics of Coral going forward, it continues to look like a robust project for us. In fact, as you mentioned, some of the other oil sands projects may be slowing down or whatever. That could actually provide some benefit to us in respect to lower costs of both raw materials and services given what’s going in some of the major commodity products but again, we are progressing. The detail designed engineering is underway and long lead procurement items are being advanced. And we would expect to be in a position to reach a final investment decision sometime in 2009.
Erik Mielke – Merrill Lynch: Very good, thank you.
David Rosenthal: Thank you.
Operator: Our next question comes from Jason Gammel of Macquarie.
David Rosenthal: Good morning, Jason.
Jason Gammel - Macquarie Research Equities: Good morning, David. How are you?
David Rosenthal: I’m fine, thank you.
Jason Gammel – Macquarie Research Equities: I wanted to ask a question about defined product sales. Year over year they were down about 6% in the quarter. It seemed to be essentially across all regions. Would you be able to talk about how much of that was related to maybe divestitures, effects of hurricanes, etc. versus just what you’re seeing in terms of weak demand?
David Rosenthal: Well, we’re seeing the impact of all of those factors that you mentioned. Demand is, of course, a piece of that particularly in the OECD countries. Although, we do still see a little growth in the non-OEC countries but we also, of course, have the effect of the hurricane and we do have some effect of divestments but I wouldn’t want to give any specifics on any of those individually. It’s a mixture of all of them but I’d say overall, you know, there’s an impact on demand in the OECD countries as well as the other effects we mentioned but pretty much across the board.
Jason Gammel – Macquarie Research Equities: Great, thanks. If I could ask one more on the effect of tax rate, it was down about four percentage points versus what we saw in the first half of the year. Is that really just primarily a reflection of the relatively higher contribution of down-stream or are there some adjustments and accrual factors we should know about?
David Rosenthal: Well, it’s clearly, (inaudible 00:36:24) you hit the nail on the head there. It is a function to some extent of the higher proportion of down-stream earnings. The other impact that we have in there relates to our Germany asset sale. That did carry a low tax rate and so those are the two primary factors in the quarter-to-quarter decrease in our effected tax rate.
Jason Gammel – Macquarie Research Equities: Thank you, David.
David Rosenthal: Thank you.
Operator: Our next question comes from Paul Cheng of Barclays Company.
David Rosenthal: Good morning, Paul.
[Paul Cheng – Barclays Company]: Hey, good morning. Dave, two simple questions, one, you’re talking about the share buy-back (inaudible 00:37:02) third quarter excluding the (inaudible 00:37:07) effect, you’re buying about eight billion. Can you tell us what is the run rate for the fourth quarter? Secondly, I want to see if you can make any comment in terms of overall cost pressure in the industry over the last (inaudible 00:37:23) year have been phenomenal, have you seen any visible signs, you start to crack and coming down?
David Rosenthal: Let me hit share buy-back question first. I really don’t want to provide a forward statement on what are expected share buy-back program will look like in the fourth quarter. As we look at the cost structure, yes, commodity prices are coming down. For example, steel, concrete, cooper, and other commodities and while it is a little early to tell the extent and timing effect of those prices on our business and our projects in particular, I can tell you that we are actively chasing the lag out of that process and working hard to realize and deliver any cost savings that the market may generate as quickly as possible and as I mentioned earlier, particular on some of our major projects that are just now getting underway, we’ll be working very hard to ensure that the lower cost we’re seeing in some of these goods and services does translate directly into lower costs of those projects to the extent possible.
[Paul Cheng – Barclays Company]: Dave, if I could, just follow-up on that. On the drilling rate on the deep-water, I think in the past that, if I recall correctly, you only have a commitment up to 2010 so that means that in the event that the (inaudible 00:38:54) rates start to come down, you should be able to take advantage on that. Is that a true statement or do you actually have commitment beyond 2010 already?
David Rosenthal: Well, rather then picking any particular year, what I would say overall is we are only committed to the extent that we have firm obligations. For example, we’ve just taken delivery of two new rigs and one of them, as I mentioned, is drilling the well in Brazil as we speak. What happens going forward with rig rates and other expenses, you know, we’ll just have to see how that shakes out going forward. But, I think what you’ll see is a lot of our commitment wells over the next couple of years are going to covered by the two new rigs that we’ve just taken delivery on as we continue to actively explore some of the outstanding exploration prospects that we have underway.
[Paul Cheng – Barclays Company]: Dave, final one, go back to your earlier question, you don’t want to give a number for the fourth quarter, understandable for the share buy-back. Can you tell us what is your (inaudible 00:40:10) in October?
David Rosenthal: No, I really don’t want to give any kind of a run rate. While we mentioned what the total purchases were in the third quarter and I’ll probably just leave at that.
[Paul Cheng – Barclays Company]: Okay, thanks.
David Rosenthal: Thank you.
Operator: And as a reminder it’s star 1 if you would like to signal for a question. We’ll go next to Robert Kessler of Simmons & Company.
Robert Kessler – Simmons & Company International: Good morning, David.
David Rosenthal: Good morning Robert, how are you?
Robert Kessler – Simmons & Company International: Good. This might be more of a nuance question but you mentioned a couple of times now that the inflationary trends that you’re seeing in the capital investment side of things and then you’ve reiterated this $25 to $30 billion per year spending for the next five years. I’m assuming that was calibrated giving consideration to the inflationary environment we witnessing at the time. So, just as you think about that program in the new environment, should we expect you to perhaps to spend less with the same activity to the extend deflation occurs or would you sort of pick up your activity to take advantage of the lower costs and then fill the gap and spend the same amount?
David Rosenthal: Well, that’s a good question and if you look at our major projects that are underway or in the early stages, these are very long-term large scale projects. And as I mentioned earlier, when we’re analyzing and evaluating those projects, we do look at them over a fairly broad range of prices and they are robust again across that range. As we look out into the future, we’re just going to need to just see what the impact is of these costs and how quickly they come through and what impact they have on the projects. But I would like to say overall, that we pursue investment opportunities, we don’t have spend target, if we mention the $25 to $30 billion a year going forward, that’s not a target that’s an outcome or an expectation that’s generated from the project portfolio that we’re pursuing. And as we continue to pursue that portfolio of projects, whatever impact, or help we get on prices will be realized in that. But again, we will be pursing all investment opportunities that we view as being robust and generate long term shareholder value.
Robert Kessler – Simmons & Company International: Makes sense, thanks, David.
David Rosenthal: Thank you.
Operator: And we’ll go back to Neil McMahon of Sanford Bernstein.
Neil McMahon – Sanford C. Bernstein & Company, Inc.: Hi, I’ve just got a follow-up call on the timing of any Brazil announcements. Have you got any guess estimate on roughly when the well will finish drilling? I think the idea was around the end of the year, start of next year?
David Rosenthal: Yes, as I mentioned the well has spudded and we would expect that well to be down by the end of the year, first of next year.
Neil McMahon – Sanford C. Bernstein & Company, Inc.: And I know you’re last vocal any many of your peers especially the smaller NP companies, would you be making any announcements around about that time?
David Rosenthal: You know I wouldn’t want to speculate on exactly when we’ll make an announcement but as soon as we’re ready and have information to provide, we’ll make that announcement.
Neil McMahon – Sanford C. Bernstein & Company, Inc.: Great, thanks.
David Rosenthal: Thank you.
Operator: We’ll go next to Paul Sankey, Deutsche Bank.
David Rosenthal: Yes, Paul.
Operator: (Operator instructions)
Paul Sankey – Deutsche Bank: My question was answered, I beg your pardon.
David Rosenthal: Thank you.
Operator: Not a problem, we’ll go back to Mark Gilman of Benchmark and Company.
Mark Gilman – The Benchmark Company: David, can you quantify the Nigerian maintenance impact on the third quarter, volume (inaudible 00:43:53}?
David Rosenthal: If we look at the total maintenance effect that we mentioned, about 3% of the decline, I would tell you again that the two largest components there were the North Sea and Nigeria. And while Nigeria was a major factor, I wouldn’t really want to single it out and give a specific number. But just to say that of that 100,000 barrels that we talked about, the two biggest impacts were your normal third quarter North Sea maintenance and Nigeria, but I think the key thing for us is that maintenance work has been successful and as we go forward we’d be expecting to see those volumes coming back.
Mark Gilman – The Benchmark Company: Okay, could you provide absolute price finalization numbers for the third quarter split US and foreign?
David Rosenthal: Sure, I’d be happy to provide that for you. If we look at the absolute values for the price finalization in the third quarter of 08, we were about $600 million in total, about two thirds of that U.S. and about a third of that non-U.S.
Mark Gilman – The Benchmark Company: Thank you, David.
David Rosenthal: Okay, thank you.
Operator: (Operator instructions) We’ll go back to Jason Gammel of Macquarie.
Jason Gammel – Macquarie Research Equities: David, I just wanted to complete the loop on the LNG infrastructure progress, can you talk about Golden Pass, where you’re at in terms of construction and when you expect to have first cargos in that facility?
David Rosenthal: Sure, as you know, Golden Pass is our larger LNG regasication (misspelled? 00:45:42) project in the U.S. It’s progressing along on schedule. We did have some hurricane impacts on the project and we’re assessing the impact of that and determining what restorative work will be needed. But I have to say we are still in the assessment stage and not prepared to give any specific indications on cost impact or schedule. We’re working through all of that and we’ll provide an update as we have more information.
Jason Gammel – Macquarie Research Equities: Thanks and if I could just one more on Golden Path, should we think of that as a terminal that will essentially have very steady (inaudible 00:46:28) volumes or will this be a facility that just takes advantage of price arbitrage in the North American market versus the other markets that you serve?
David Rosenthal: Well, I wouldn’t want to make a prediction on any type of a short-term basis. As you know, all of our LNG investments across the value chain are long-term in nature and are not subject to short-term variations in prices or supply demand balances. We do expect some volumes will come into the Golden Pass terminal, but I wouldn’t want to try to give a specific profile especially near-term. Again, if we think longer term the U.S. is going to need more LNG and we feel like we’re well positioned to meet that need from a number of standpoints including LNG out of cutter into our Golden Path terminal. But again, it’s a very long-term project meeting a very long-term need for gas into the U.S.
Jason Gammel – Macquarie Research Equities: Okay, appreciate it that, David, thanks.
David Rosenthal: Thank you.
Operator: That’s all the time we have for questions, I’d like to turn the call back over to Mr. Rosenthal for any additional or closing remarks.
David Rosenthal: Thank you very much. I’d like to close by commenting in a current volatile commodity and credit environments, we remain confident in our ability to deliver industry leading projects and grow shareholder value. Our financial strength, discipline investment approach, commitment to operational excellence and technology development continue to serve as well. I thank all of you for your time and your questions this morning.
Operator: And again ladies and gentlemen this does conclude today’s conference. We thank you for your participation, you may disconnect at this time.